Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Partners' First Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speaker’s remarks, they will be invited to participate in the question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, May 4, 2015. I would now like to turn the call over to today's host, Mr. David Hansen, Westlake Chemical Partners’ Senior Vice President of Administration. Sir, you may begin.
David Hansen : Thank you very much. Good morning, everyone, and welcome to the Westlake Chemical Partners' first quarter 2015 conference call. I’m joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer and other members of our management team. The conference call will begin with Albert, who will open with a few comments regarding Westlake Chemical Partners' performance in the first quarter and a current outlook on performance and opportunity. Steve will then provide a more detailed look at our financial and operating results. Then finally, Albert will add a few concluding comments, and we will open the call up to questions. At times, we may refer to ourselves as Westlake Partners or the partnership, reference as to Westlake Chemical referred to our parent company Westlake Chemical Corporation and reference as to OpCo referred to Westlake Chemical OpCo LP who’s assets consistent two ethylene production facilities located in Lake Charles, Louisiana and an ethylene production facility located in Calvert City, Kentucky and an ethylene pipeline that runs from Mont Belvieu, Texas to Longview, Texas chemical sites. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus, are subject to risks or uncertainties. Actual results could differ materially based upon factors including operating difficulties; the volume of ethylene that we are able to sell, the price of which we were able to sell ethylene; changes in the price and availability of electricity; changes in global and economic conditions; actions of third-parties; unanticipated ground, rate or water conditions; inclement or hazardous weather conditions, including flooding and the physical impact of climate change; environmental hazards, industrial accidents, changes in laws and regulations and inability to acquire or maintain necessary permits; inability to obtain necessary production equipment or replacement parts; tactical difficulties or failures; labor disputes; the slight delays of raw materials; difficulty collecting receivables; inability of our customers to take delivery; changes in the prices and availability of transportation, fires, explosions and other accidents or our ability to borrow funds in excess capital markets and other risk factors. This morning, Westlake Partners issued a press release with details of our first quarter financial and net operating results along with the description of our first dropdown transaction with OpCo. This document is available in the Press Release section of our webpage at wlkpartners.com. A replay of today's call will be available beginning two hours after completion of this call until 12:00 AM Eastern time on May 11, 2015. The replay may be accessed by dialing the following numbers; domestic callers should dial 855-859-2056; international callers may access the replay at 404-537-3406. The access code is 24773677. Please note that information reported on this call speaks only as of today, May 4, 2015, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Chao : Thank you, Dave. Good morning ladies and gentlemen, and thank you for joining us on our earnings call to discuss our first quarter results. In this morning's press release, we reported consolidated net income, including OpCo's earnings of $88 million for the first quarter of 2015. We owned 10.6% of OpCo during the first quarter, therefore the net income attributable to our limited partners was $9 million. OpCo’s ethylene units continue to perform well in the first quarter, delivering record production. We were pleased to announce an increase in distributions to our unit holders with respect to the first quarter is 2.9% increase in the -- it's a first increase in distributions to our unit holders since our initial public offering in August 2014 and is consistent with our targeted annualized low double-digit growth in distribution. I’ll now like to turn our call our call to Steve provide more detail on the financial and operating results for the first quarter.
Steve Bender: Thank you, Albert and good morning, everyone. In this morning’s press release, we reported consolidated net income of $88 million on sales [of] 258 million for the first quarter of 2015. Net income attributable to the one of the partners which was derived from our 10.6% ownership of OpCo was $9 million or $0.31 per limited unit -- limited partner unit. We also reported MLP distributable cash flow of $9 million for the quarter. The benefit from the long term ethylene sales agreement with our sponsor Westlake Chemical is the stable fee based cash flow which is insulated from oil and ethylene price volatility. This contract represents 95% of our ethylene sales and protects partnership cash flows from the risk traditionally associated with the chemical industry. This ethylene contract which is structure to generate cash margin of $0.10 per pound of ethylene along with the [take or pay] provisions incentivizes to continue to look for opportunities to increase capacity and operating rate. As Albert mentioned we achieved record production in the first quarter which drove growth in MLP distributable cash flow along with previously announced expansion of our Petro 1 facility targeted for completion in the first half of 2016 but will add an estimated 250 million pounds per year of ethylene production capacity we continually look to evaluate other opportunities such as capacity expansion in OpCo's ethylene production facilities and acquisitions of other qualified assets from third parties. As announced last week we have completed our first drop down transaction where we purchased an additional 2.7% interest in OpCo for $135 million. This purchased was funded by a revolving credit facility that was established between the partnership and affiliate of Westlake Chemical. This transaction is an important step in our plan to provide for consistent long term distribution growth for the partnership. On August 29th we declared a quarterly distribution to unit holders of $28.9 per unit this increase $0.79 per unit represented 2.9% increase from the prior quarter and sets us on the path for delivering consistent quarterly increases targeting an annualized low double digit growth rate. The coverage ratio for the first quarter 2015 is 1.17 with respect to MLP distributable cash flow. At the end of the first quarter we had a consolidated cash balance of $145 million of which 143 million was with OpCo and 2 million with sales of partnership level. Long term debt was $258 million all of which was at the OpCo level. As discussed earlier in conjunction with a drop down completed in April the partnership entered a 3 year, $300 million revolving credit facility with an affiliate of parent Westlake Chemical. This facility provides the liquidity necessary to fund the recent completed drop down and maybe used to fund future acquisitions and for general corporate purposes. Please see the schedule attached on the back of earnings release with the definition of MLP distributable cash flow and for reconciliation to the full quarter's performance. Now I like to turn the call back over to Albert to make some closing comments. Albert?
Albert Chao: Thank you Steve. Our first quarter 2015 results continue to demonstrate our stable fee based cash flow generated by our fixed margin ethylene sales contract with Westlake Chemical. This stable cash flow provided strong foundation for growth, the acquisition of addition ownership interest of OpCo and our partners in April provided a platform to continue to deliver on our targeted annualized low double digit growth in distribution. Looking forward we continue work towards our Petro 1 ethylene expansion at our Lake Charles site that’s expected to add 250 pounds a year of ethylene capacity. This expansion is plan for completion in the first half of 2016. Thank you very much for listening to our first quarter earnings call this morning. Now I turn the call back to David Hansen.
David Hansen: Thank you Albert. Ladies and gentlemen, before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again at the end of the call. Operator, we're now prepared to take questions.
Operator: [Operator Instruction] Your first question comes from Kevin McCarthy from Bank of America Merrill Lynch. Your line is open. Please go ahead.
Kevin McCarthy : Albert would you comment on your current view of the M&A outlook and whether or not you're any more confident or less confident in acquisition potential relative to say last quarter?
Albert Chao : I don’t think the environment has changed much but M&A depends on both parties to reach an agreement. And opportunities out there but if two party have come to an agreement. But I don’t think between first quarter this year and last quarter last year things have changed much.
Kevin McCarthy : With regards to Westlake Chemical dispute with Eastman Chemical on the pipeline, would you provide an update as to the status of that and what's been resolved and what has not been result?
Steve Bender: As I say for very briefly there were two topics one was tariff issues and one was directional flow. And of course in the case of tariff we were for the view that tariff is something that just needs to be market based and the directional flow was initially that I think was resolved where we believe that we can wait to see if Eastman once move product south down the pipeline and we stand ready waiting to see if they wanted to move product down the pipeline.
Kevin McCarthy: And then the last one for me or maybe two pieces. Steve can you provide an update on maintenance CapEx and contribution to turnaround activity from WLKP perspective?
Steven Bender: Clearly from a funding of those events we seeded that IPO, the capital that was necessary we have fund those turnarounds when those occur and on an ongoing monthly basis there is continuance a seeding of that capital as necessary with fund and so therefore -- that’s why I've made reference to the cash balances that are sitting in OpCo and as you can see the great majority, 143 million sit at OpCo. So therefore we are well position to fund the turnaround events when those occur. And as we made note earlier, we've got one coming in 2016.
Operator: Our next question comes from Brian Maguire from Goldman Sachs. Your line is open. Please go ahead.
Brian Maguire: I think [indiscernible] had a moratorium on issuing new PLR for a while I think they came out of it, there were some chatter when they did come out that they might looked to change some of the classifications that qualifying in composing things that have recently been put into MLP. Just wondering if you're hearing anything along those lines and is there risk to that impacting WLKP as far as you see it?
Steve Bender: Thank you for the questions and the opportunity to provide some clarity here. We don’t see based on conversation we’ve had with our counsel and they with service. We don’t see any risk associated with our private letter ruling as it relates to the comments from the service. So we remain very comfortable and very pleased that the PLR that we have will continue to provide the structure that’s in place today. And we don’t -- based on conversation we've don’t see any risk associated with that.
Brian Maguire: Okay that’s great news. And by your calculation was the drop last week enough to support your goal for low double digit distribution growth this year or should we expect there to be a second drop issue or some other action need to take to hit that goal?
Steve Bender: We believe based on the numbers that we put in the release that you can see quite clearly that we're on path to provide that annualize low double digit growth rate that Albert made reference to. And certainly we want to continue to have you think in terms of that very much the message that we want to continue to deliver and the actions that we took last week we think deliver on that comment.
Brian Maguire: And then you -- so understand the thinking behind going over quarterly distribution increase as opposed to own to your being how should we think about or read into that?
Steve Bender: I think this is fairly common Brian and when you think of turns of wanting to reward investors today and investors that would continue to invest; we want to make sure that there is an ample return and an expectations so that they can see the step by step growth that we’re delivering to that growth in quarterly distribution.
Operator: And at this time Q&A session has now ended. I would like to hand the conference back over for closing remarks.
David Hansen: Thank you very much. We appreciate your participation in our call today. We hope that you will join us again for our next conference call to discuss the second quarter results. Thank you very much and have a wonderful day.
Operator: Ladies and gentlemen thank you for participating in today's Westlake Chemical Partners first quarter earnings conference call. As a reminder, this call will be available for replay beginning two hours after the call has ended, you may be accessed until 12:00 a.m. Eastern time on May 11, 2015. The replay can be accessed by dialing the following numbers: Domestic callers should dial 855-855-2056. International callers may access the replay at 404-537-3406. The access code is 24773677. You may all disconnect. Have a wonderful day.